Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the StoneCo Third Quarter 2020 Earnings Conference Call. By now, everyone should have access to our earnings release. The company also posted a presentation to go along with this call. All material can be found at www.stone.co on the Investor Relations section. Throughout this conference call, the company will be presenting non-IFRS financial information, including adjusted net income and adjusted free cash flow. These are important financial measures for the company but are not financial measures as defined by IFRS. Reconciliation of the company's non-IFRS financial information to the IFRS financial information appear in today's press release. Finally, before we begin our formal remarks, I would like to remind everyone that today's discussion might include forward-looking statements. These forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from the company's expectations. Please refer to the forward-looking statements disclosure in the company's earnings press release. In addition, many of the risks regarding the business are disclosed in the company's Form 20-F filed with the Securities and Exchange Commission, which is available at www.sec.gov. Please note this event is being recorded. I would now like to turn the conference over to your host, Rafael Martins, Investor Relations Executive Officer at Stone. Please proceed.
Rafael Martins: Thank you, operator, and good evening, everyone. Joining us here today we have Thiago Piau, our CEO; Lia Matos, our COO and Chief Strategy Officer; and Marcelo Baldin, our CFO. On today's call, we will present our operational and financial results for the third quarter 2020 and will be available for Q&A after our prepared remarks. I will pass it over to Thiago, so he can share with you the main highlights of our performance and discuss the strategic direction we are heading to. Thiago?
Thiago Piau: Thank you, Rafael, and thank you all for joining us today. Let me quickly share some thoughts here before we start this presentation. First, I would like to say that I'm very proud of our team that was able to adapt quickly to this new reality brought by the COVID-19 outbreak, never losing focus on the most important thing for us, our clients, our people and our results. This was the toughest quarter ever in terms of execution, and I think that the team should try that again. We have an amazing work, both in terms of organic execution and strategic evolution. We run our business based on our strong culture with a team of entrepreneurs who aim to change our clients' reality, with better products and superior services. By having focus in a clear strategic direction, giving autonomy to this big pool of talents in who we trust, and implementing a robust management system focused on technology and execution, we were able to post a strong result in our core business, while seeing powerful traction of new initiatives, such as banking, credit, software, and phones. These areas which are currently in different maturity stages in terms of their roadmap, enhanced their ecosystem and are already contributing to our results. In fact, in the past three months, TPV growth accelerated more than 113% with strong net addition of clients and advancements on the penetration of new solutions, resulting in record TPV revenue and adjusted net income for a single quarter in our history. Even though, we are happy with our growth trajectory, we think that we are still far from our potential and therefore we will keep investing heavily on technology, team development and channel distribution, as we see ourselves queue in the early days for business. We will keep running our business with a young, fast and small company mentality where we are passionate about customers and obsessive about details. Even though, we already have some scale. We will continue bearing operational leverage, this bring capital allocation and people development. Now moving to the presentation, I would like to start on Page 3 with some highlights. As we indicated in the last earnings call, the client base had a strong bounce back, with more than 63,000 clients being added in the quarter, a number 26% higher than first quarter '20. Our strong performance across segments led to a record TPV growth in the quarter, with nearly BRL70 billion being processed by Stone, representing 114% annual growth. This includes over BRL20 billion in Coronavoucher, the government's temporary financial aid to mitigate the impact of the COVID-19, which we processed mainly through our Fintech-as-a-Service strategy. When we exclude the Coronavoucher volumes, TPV growth accelerated posting 48% in the quarter and 52% in September, taking us back to the pre-COVID growth levels. This strong volume was followed by a substantial monetization, we've been increasing quarter-over-quarter take rate of 1.76%, when we exclude the direct impact of the Coronavouchers and 1.30% for the reported take rate. The combination of high volumes with healthy take rates generated a record total revenue and income of BRL934 million, representing a 46% growth when we exclude the other financial income, which is mainly used on cash. Aiming to balance our long-term growth and profitability, we increased investments in the quarter while experienced operating leverage with our adjusted net margins back to pre-COVID levels at nearly 31%, generating nearly BRL288 million in adjusted net income. Our brick and mortar SMB operation posted a sharp recovery with TPV growing 48% against the previous quarter, and a strong penetration of additional financial solutions. We are quickly advancing in creating our complete financial platform to replace our clients' traditional banking relationships. And in September, we reached more than 357,000 digital accounts, a 44% growth against last quarter. We also celebrated an important milestone in our credit product, which reached more than BRL1 billion in total outstanding balance, counting with healthy ROA and controlled delinquency rates. As we mentioned in the first quarter '20 earnings call, we are very well positioned to help our clients with the digitization trend, which accelerated this year. Our online TPV growth jumped to 575% this quarter, with a combination of strong cohort economics from the digital SMB, and our Fintech-as-a-Service platform, which counted with a tailwind for Coronavoucher. On the software front, we reached more than 340,000 subscribed clients in the quarter with over 20% organic growth against last quarter. In addition to that, in October we invested in Questor, an E&P for accounting office and SMBs, which brings around 6,000 clients to our base and expand our ecosystem with ERP accounting capabilities. Regarding the Linx acquisition, Linx shareholders meeting to vote on our transaction is scheduled for November 17th, and we're very confident we have the best proposal, bringing the best outcome for Linx clients, teams and shareholders. So, our solution for micro merchants increased its client base nearly 85% quarter-over-quarter, reaching 65,000 clients. It is important to remember here that we are reporting Stone's client base separately, and these clients are not accounted for in our active client base of 583,000 clients and acquiring. We are increasing investments in this new venture, aiming to have a complete platform to meet the needs of these specific clients. We have an outstanding service level backed by technology and self-service. With the strong growth pace in our core business and the accelerated ramp up of our new solutions, we are continuing our higher activity in fourth quarter 2020, strengthening our team in several areas, including sales and technology. For that we are happy to count with best talent brought by over 100,000 applications for the Recruta program this year, our largest recruiting process, which aims to find the best talent in Brazil to work in different areas of the company. Now let's move to Page 4. We are building three highly synergistic platforms under the StoneCo umbrella. The first is a financial platform for SMBs, which we are building with the hub, our ABC platform and our incredible customer service. Here, we aim to replace merchant's existing relationships with their banks, offering a full financial services platform with local presence, the best customer service and an amazing user experience. The second is a Fintech-as-a-Service platform, where everything we offer for SMBs is a product. We offer as a service in an open platform with simple API's to digital clients, large accounts, marketplaces, wallets, sub-acquirers and software partners. The third is the new strategic front, where we are building a full commerce platform available to merchants of all sizes, both for traditional retailers in the offline world want to digitize their businesses and for digital natives players who want to quickly scale their businesses, based on our software platform. We believe that investment in Linx is the best foot forward in digital assets. Although, we see a lot of synergy between the platforms, they will have full independence with merchants be able to use them separately, integrated with third party partners if they want or to choose our combined solutions with better value proposition. As shown on Page 5, the company posted a V-shaped recovery in the third quarter, driven by continuing economic recovery and strong execution. Our overall TPV grew almost 114% and even excluding Coronavoucher direct impact, we had higher growth levels than in the first quarter of the year. Also when we exclude Coronavouchers impact, we see the growth accelerating every month since April from 9% to more than 52% in September. This robust growth is reflected in our record quarterly total revenue and income and adjusted net income, with margins bouncing back to 31% level that enabled us to continue to invest heavily on growth. Now with that said, I'll pass it over to Lia, so she can discuss our strategic evolution and key priorities. Lia?
Lia Matos: Thanks, Thiago, and good evening, everyone. Thanks for joining us today. Let me start with the evolution of our financial platform for SMBs on Page 6. Our client base is back to a healthy growth level, even excluding TON, with 26% more net-adds when compared to the first quarter of 2020. Looking at TPV, our growth was not only higher than in the first quarter, but also accelerated every month from April to September when it reached 52%. As Thiago mentioned, we continue to foster a long-term relationship with our brick and mortar SMB client, helping them to manage their business and sell more. For that we recently began to scale our new financial solutions. The graph on the right side of the page shows that the percentage of clients using more than payments jumped from 12% in January to 27% in September, by either taking credit, being inactive user of our digital banking account or both. The successful penetration of new solutions is driving a positive impact on monetization. And despite the COVID effects, we are seeing take rates in the hubs going up again. We see plenty of opportunities to upsell our new solutions to SMB clients, by offering the best customer service and simple intuitive product at fair prices. As we show on Page 7, a huge step forward in this direction will be the full launch of our ABC platform in the fourth quarter, when we expect to migrate all our SMB clients to the platform. With this, our clients will have access to a comprehensive set of financial services through a single integrated experience, including all payment methods, prepayments, credit, wire transfers, boleto issuance and bill payments, pre-paid cards, payment links and a virtual shop. We will also enable our clients to accept fixed transactions directly on the POS, using a dynamic QR code, bringing more security and convenience to retailers. Moving to Page 8, we show our banking platforms fast ramp up with the number of digital accounts jumping to 367,000 clients nearly three times more than in the first quarter, including over 88,000 merchants receiving their sales directly into a Stone digital account. In addition, due to a combination of the high engagement of digital banking clients and the initial strong traction of our Fintech-as-a-Service platform, the number of transactions increased eight-fold, with revenues jumping approximately 370% in the quarter when compared to the second quarter. Slide 9 shows the evolution of our credit solution, which achieved a significant milestone last quarter, surpassing over BRL1 billion in total outstanding volume. More than 73,000 merchants now use these working capital loans, which they seamlessly pay by deducting a small percentage of their sales every day. Our product remains fairly conservative with a small duration of seven months and an average ticket for new loans of BRL19,000, the equivalent of roughly a month of their TPV. We remain very focused on balancing risk and profitability, which is reflected in our relatively stable ROA and lower expected losses despite the COVID impact. We see a huge opportunity ahead of us, and we will leverage our distribution and proprietary credit scoring model to continue to serve merchants with our working capital solutions. Also, as we have already indicated, in the coming months, this operation will start to be funded with third-party capital through FIDC [ph] structure, which will allow us to limit our credit exposure while maintaining good economics. Moving on to Page 10, we show the traction of our TON initiative, our new venture to serve micro merchants and autonomous workers. In the third quarter, we re-accelerated investments in marketing campaigns for the product and we saw the client base grow nearly 85% quarter-over-quarter, reaching 65,000 clients at the end of September. The compound monthly growth rate for TPV from April to September was 40%, which shows the product strong initial traction. Now I want to talk a little bit about the evolution of our Fintech-as-a-Service. In Page 11, we illustrate the current and future capabilities of our platform, and how we serve different types of clients offering financial services according to their business model needs. First, let's talk about the digital SMB. Here, we enable payments as a feature embedded in commerce platform. With a very easy setup, clients can start selling with complete abstraction of the complexity of managing online payments. Secondly, we serve more digitally mature merchants that look for increased conversion rate through a direct integration with our platform, and need the ability to customize the functionalities according to their needs. Through our APIs, it is easy for them to connect and access the features of our platform such as authorization retrial, split payments, pre payments, chargeback disputes, reconciliations, anti-fraud and analytics. The combination of the capabilities of our platform enable such large clients to greatly streamline the way they manage their financial service operations, improving their productivity. Lastly, we enable tech companies such as marketplaces, sub acquires, wallets and Fintechs in general, to provide financial services to their own clients as part of their product offering in a white label manner, such as a branded POS device, or white label digital account prepayment services to their clients, among other services, which can all be achieved through simple API integration. The capabilities of our platform results in improved conversion rates, high availability and a complete suite of services which simply put, lead to increase in our client sales and success. We continue to work hard evolving our platform to serve the evolving needs of our clients. On Page 12, we show some highlights of the results of our Fintech-as-a-Service business. Our online TPV jumped nearly 575% in the quarter, growing four times more than the previous quarter. There was a powerful contribution from Coronavoucher volumes processed through a platform for different integrated partners, such as wallets and sub-acquirers. However, even excluding the government programs impact, volumes grew about 76% in the quarter, four times more than the growth experienced in the first quarter of 2020. As we have just indicated, our digital solutions are not exclusive for large or more digitally mature players. Our platform also offers simple features to connect small e-commerce, social sellers and brick and mortar SMB clients to the digital world. As a graph on the right side of the page show, our digital SMB cohorts represent high revenue retention, which speaks to the power of our business model, allowing us to grow as our clients grow and mature. On Page 13, we show our evolution in software. As you can see, in the third quarter we had strong fully organic growth in our software client base, which we increased more than 20% when compared to the previous quarter, reaching over 340,000 subscribed clients. We remain focused on helping our merchants digitalize their business. For instance, the number of posts in our social media management solution and labs grew more than 160% in just one year, reaching over 50 billion post impressions to the platform per month. Lastly, on top of the organic growth, we're happy to welcome a new company to our ecosystem, bringing new solutions and more entrepreneurs. Questor is an ERP for accounting offices in SMB. Their accounting clients serve more than 450,000 businesses across the whole country and process 1.5 million individual paychecks monthly. With this strategic update, I will pass it over to Rafael, who will discuss our financial results in detail. Rafa?
Rafael Martins: Thank you, Lia. Starting with Slide 14, we present our topline evolution in the quarter. We reached 583,000 clients excluding TON, mainly due to the strong performance in the hubs. With our bricks and mortar SMB operations showing promising trends and additional investments to grow, we do expect to keep a strong net addition of clients at the end of the year, despite the seasonal effects accelerating into 2021. Our TPV grew 114% in the third quarter of 2020 compared to last year, reaching BRL69.7 billion. There is a significant contribution of BRL21.6 billion here of Coronavoucher volumes. Coronavoucher is a government financial aid program, targeting the most vulnerable part of the population as autonomous and informal workers and people without income. Those individuals receive the amounts in a prepaid card and many of them use the cards to transfer money to different digital wallets and to buy goods. So, when those digital wallets use Stone Fintech-as-a-Service platform to process the cash in transactions, we capture the related TPV. If we consider only volumes apart from Coronavoucher TPV was BRL48.1 in the quarter, nearly 20% higher than our highest historical quarterly TPV which had been reached in the fourth quarter of 2019, a seasonally stronger quarter. Total Revenue and income was BRL934 million in the third quarter, a 39% increase year-on-year. Excluding other financial income which mainly comprises interest on cash, total revenue and income grew 45.5% year-over-year. As shown in Slide 16, the massive TPV brought by the Coronavouchers led to a reported take rate of 1.3% in the quarter. However, the take rate into hubs continued to increase contributing an additional 4 basis points in the take rate this quarter, resulting in a 1.76% take rate excluding the effect of Coronavoucher volumes, a 2 basis points increase from last quarter comparable metric. Moving to Slide 16, we show our consolidated P&L and on Slide 17, the evolution of our operating leverage and profitability. This quarter we experienced a significant increase in operating leverage, reaching record adjusted net income of BRL287.9 million. In addition to the usual adjustments in net income related mainly to the share-based compensation program launched at the IPO, this quarter we included a BRL13.5 million effect related to Linx M&A expenses and present value adjustments related to earn out of companies we have invested in. Our operating costs and expenses decreased by nearly 12 percentage points from last quarter, representing 48.6% of our total revenue and income. Financial expenses declined from 9.4% to 6.9% of the revenue and income, mainly as a result of the lower base interest rate and higher efficiency. This combination resulted in a sharp increase in our adjusted net margin, which went from 22.5% last quarter to 30.8% this quarter, and our adjusted pre-tax margin, which recovered from 29.9% in the previous quarter to 45.2% this quarter. Now going over in more detail to each P&L item, our cost of services reached BRL208.1 million or 22.3% of total revenue and income in the quarter, increasing 5.5 percentage points when compared to last year. The increase was mainly due to higher provisions in losses, which does not include provisions for delinquency related to our credit product, significant investments in technology and customer service, higher card bearing fees and variable compensation. Compared to previous quarter, cost of services as a percentage of revenue decreased 7.5 percentage points, primarily because of a lower depreciation expenses due to a change in the POS depreciation period from three years with a residual value of 30% to five years with no residual value, lower provisions and losses, gains of scale in transaction costs and lower brand fee. Administrative expenses were BRL106.2 million or 11.4% of total revenue and income, 0.8 percentage points higher than the prior year period, mostly due to higher third-party services and higher personnel expenses. Selling expenses were BRL139.5 million in the quarter, an increase of 37.3% versus last year, mainly due to higher investments in TON and variable compensation. Compared to last quarter, the line presented the 2.2 percentage points operating leverage, mostly explained by a lower average number of salespeople and severance costs accounted for in the second quarter of 2020, which were partially compensated by higher marketing investments income. Financial expenses were BRL64.7 million a decrease of 36.1% compared to the third quarter of 2019, mainly due to the lower CDI rate, which more than compensated for the significantly higher volumes in the quarter. And finally, on Slide 18, we show our adjusted free cash flow, which was BRL288.6 million in the third quarter, or 7 times our third quarter '19 figure, mainly driven by a higher adjusted net income and better working capital. With that said, operator, please open the call up to questions.
Operator: At this time, we're going to open it up for question-and-answers. [Operator instructions] Our first question comes from Tito Labarta with Goldman Sachs. Please go ahead.
Tito Labarta: Hi, good evening. Thank you for the call. A couple questions. I guess first on the Linx just to get the latest update. And I heard this morning that you eliminated the breakup fee and you increased the bid a little bit. If you can just tell us the kind of the rationale for that and kind of what's the latest that you're hearing from CADE? Do you still expect to hear from them in November? And then on the second question, very strong growth on the TPV, obviously. But how do we think about that TPV, I guess once the Coronavoucher goes away? So should we think of it sort of excluding that, like when does that go away? Do you think that after 4Q then TPV should decline back the ex- Coronavoucher levels? And following up on that, if we think about the margin expansion, we saw this quarter like how much of that was related to the Coronavoucher linkage? Without the Coronavoucher, what would your net margin have been like? Thank you.
Thiago Piau: Hi Tito. Thiago here. Thank you very much for your question. So I will start here with the Linx update. So as you said, with the two updates this morning, working together with the board of Linx and independent board members of Linx, so we decided to waive the breakup fee in the shareholder meeting that will take place on November 17th, and increase the deal by $0.50. And the main reason here is that, although we know that the breakup fees are valid in legal instruments, and we have discussed proactively with CDM about this. We saw the opinions of P3, which is the regulator of Brazilian market, about the CADE rules. And we respect the opinion of P3 and decided to waive all the fines related to - all the breakup fee related to the shareholder meeting of November 17th. We think that this will be very well received from Linx shareholders. And regarding the bids, we think that we already had many discussions about the process. Now we would like to turn our focus into clients, team and the roadmap of technology and projects that we have to create. And in that sense, we decided to give an incentive for the meeting to take place on November 17th. And we make sure that we have the best proposal on the table both for clients, the team, for shareholders. So we are very, very confident in order to make sure that we can conclude the process and focus on product, technology and team we decided to put these incentives at this time. So those are the reasons for the updates that we did. Regarding growth, it's difficult to talk about COVID volume, Tito, because mainly here we're dependent on the government's ability to give Coronavoucher for the population. And we noticed that now the volumes of Coronavoucher will decrease from BRL600 to BRL300 for the fourth quarter. And we still depend on the share of wallet of our integrated partners inside the Coronavoucher volume. So it's very difficult to say what will be the volumes, but when you see the TPV excluding Coronavoucher volumes we still expect to keep accelerating our growth in terms of TPV for fourth quarter. So we're very happy with the growth levers that we have. And we will continue to invest heavily on our growth, growth in the hubs and in the Fintech-as-a-Service platform that we have built. I think that regarding margin expansion, I will pass it over to Rafael.
Rafael Martins: Hi, Tito, Rafael here. Thank you for the question. So when we look at the Coronavoucher volumes that we had in the third quarter, its accretive right for our revenue and it's positive for our P&L. It's not a big amount. So we do have - when we look to the fourth quarter, you have an effect of - in the third quarter, we still have some effect of COVID, right, because some lower sales were accompanying the hubs versus what they could be. And when we look at the fourth quarter, I think that you should have less of the Coronavoucher volumes, but also more recovery from COVID. So we don't see our margins being impacted because of lower Coronavoucher volumes. In the short-term, they shouldn't change much. So that's what we're seeing here in internal margins.
Tito Labarta: Okay. Great. Thanks, Thiago and Rafael. And just two quick follow-ups. First time on the Linx in terms of the - sorry I took a step [Indiscernible] and the ruling from CADE, do you expect that to happen in November? And then following up on the margin. So that means, we should think of margin as your net margin as a recurring margin going forward. And perhaps there's some upside as you continue to grow.
Thiago Piau: Hey, Tito, Thiago here back again. I think regarding Linx, we have to wait for the analysis of CADE. We are not worried actually about the analysis of CADE because we think that we have a complementary solution with financial products and software product that will increase the value proposition for clients. And as we said, our platform, they always operate independently and the client has the ability to choose what are the partners that they want to use integrated. So we do not expect an impact from the CADE analysis of the deal. I think that the deals accretive for clients and will be very well received for everyone. I think that this process should take around three to four months. That's the timeline that we are working here. And during this period, we will be planning the integration and all the projects that we can create together, respecting the rules and the guidance of CADE. Regarding margins, Tito, we like this level of margins that we have. But we are always pursuing better avenues of growth in which we can deploy our capital, both in terms of OpEx and CapEx. So if we see a way to increase the growth, and if we have to give away some margins to increase growth, we will certainly do it. We have our minds focused on the growth. We think that our opportunities ahead are very big, both in terms of the whole financial platform and the Fintech-as-a-Service in the software one. So we think that we have healthy levels of margins. We always talked about around 30% margins. But once we have a new avenue of growth that we can deploy more energy, we will gladly do it. So that's the main rationale here.
Tito Labarta: All right. Perfect. Thank you, Thiago. Very helpful.
Thiago Piau: Thank you, Tito.
Operator: Our next question comes from Craig Maurer with Autonomous Research. Please go ahead.
Craig Maurer: Yes. Thanks for taking the questions. First, could you repeat quickly, the number that you gave regarding Coronavoucher expectations for fourth quarter in terms of TPV? Secondly, I assume you're wrapping up the work on your fatigue funding structure for credit. And we know that the credit opportunity is more than Forex that in terms of revenue of the acquiring business. So how quickly do you think you can attack the SMB market, displacing the bank creditors that are already in place those merchants? Thanks.
Thiago Piau: Hi, Craig. Thiago here. Thank you for the great questions. About the COVID, the Coronavoucher number that I just said. So in the third quarter, the amount that the government gives to the population was BRL300, BRL600, per elected person, and there's a rule of the elected person. And now, this amount is BRL300, per elected person. So that's the change that happened in the government's financial aid. So that's the first question. And about the public structure and how fast we can grow in credit. I think that you are looking to the right direction, the reason why we are accelerating our process of selling the credit outstanding balance to third-party capital locator is to increase the speed in which we penetrate credit in the SMB operation. We are in the final stages of this process here, both to our own outstanding credit balance and the process of raising capital of the BNDES as we have talked about this. So we seek to raise in the next month something around BRL900 to given in additional volume to credit that we will deploy over time. So we will be very aggressive and fast in terms of scaling the credit product, because this creates a lot of value to our clients. So the feedback that we are receiving from the client are very good. So we will increase the speed in which we can penetrate the credit in our client base.
Craig Maurer: Thank you.
Thiago Piau: Thank you, Craig.
Operator: Our next question comes from Mariana Taddeo with UBS. Please go ahead.
Mariana Taddeo: Hello, good evening, everyone. Congrats on the results. My question is on the pace of net adds that was quite strong this quarter. Could you share with us the main reasons for that? Have you resumed the hub opening? Or was a reflection of increased productivity with salespeople returning to the hubs? How is the competitive pressure in the SME segment? Can we expect you to keep the same pace on coming quarters? Thank you.
Thiago Piau: Hello, Mariana. Tiago here. Thank you for the question. Regarding the pace of net adds there's two factors here. One is we are improving productivity in the hubs as we said. So during the COVID outbreak, we learned how to improve productivity by changing processes and investing more in our technology in terms of operation. So I think now we have a better team and we have a better operation and that give better productivity levels to our sales force. We are back at the hiring process. So we are hiring our team such as we can. We are now further penetrating people in the hubs that we already have. So we have more operational average in terms of our growth. And the big surprise was the control in terms of churn that we have this quarter. So with decreased churn levels considerably when we compare to levels this quarter against the last quarter. And that's the two combined effects give us the strong net adds. We expect net adds to work as you can see in last year, that in the third quarter and fourth quarter, we have kind of the same level of net adds, so expect to keep this trend because of seasonality that happens in fourth quarter. But we will grow aggressively the net add space throughout 2021as was the plan for 2020. So we still have a lot of room to grow net adds. We think that next year, we will be able to increase sales force around 60% or more. So we are deploying capital and energy to grow our hub operation as such as we can. And we still have a lot of room to grow in Brazil, with our own distribution. So 2021, I think that we will have great results in terms of increasing the pace of net adds.
Mariana Taddeo: That's clear. Thank you.
Thiago Piau: Thank you, Mariana. I will just take the second question actually that you made about the competitive pressure. We are not seeing competitive pressure being harder than it was before. I think that now the market is much more stable in terms of competition and prices. I think that we are not in the level of competitive pressure that we had in fourth quarter next year first part of this year. I think now the market is much more rational and stable so we are not seeing any additional pressure in terms of competition.
Mariana Taddeo: Thanks.
Operator: Our next question comes from Rayna Kumar with Evercore ISI. Please go ahead.
Josh Siegler: Hi, this is Josh Siegler calling on behalf of Rayna Kumar. Thanks for taking my call. So I know you guys have talked in the past about the synergy possibilities with Linx. So are there any immediate or near-term synergies you hope to generate? And if so, can you provide some color on these opportunities?
Lia Matos: Hi, Josh. Lia here. Thank you for the question. So as we've mentioned before, this is really a scope transaction. So we see a lot of strategic complementarity in this acquisition. And we see really three value generation avenues. So the first one is our ability to penetrate the base of Linx clients with financial services, mainly acquiring in transaction banking services by integrating to our Fintech-as-a-Service platform. The second is really to combine Linx of powerful set of digital assets in our Fintech-as-a-Service platform to offer the ability of Linx clients to go digital and have this real omnichannel experience by being able to sell not only in the physical store, but also in digital channels, such as marketplaces, their own commerce websites, or social commerce. And the third value generation avenue is what we think is a little bit more long-term, which is our ability to streamline and simplify the solutions that Linx has developed for different verticals and bring those down to SMBs. And to really develop this powerful distribution model for SMBs in software, built upon the same concepts that we did with hub distribution. So I think those are the three value creation avenues. Of course, the first one is more of a shorter-term time horizon. And the second and the third are a bit more medium to long-term time horizons.
Josh Siegler: Great. Thank you very much. And can you help us quantify the negative impact on take rate in 4Q from Coronavoucher and the seasonally debit heavy mix?
Rafael Martins: Hi, Josh. Rafael here. Yes, we have shown in our presentation, the effect on Slide 16. It was around 46 bps of negative impact of Coronavoucher volumes. You had a smaller debit mix effect when you look at a debit mix and the other effect is 2 bps. And we have a 4 bps positive impact from the increase in take rates from the hub. So that's the effect we have decided to break it down because of the magnitude of it. And so analysts and investors can understand, well, how is the logic between the two volumes. Right.
Josh Siegler: Great, thank you. And finally, given that your marketing has become more efficient over time, do you plan on expanding that marketing in 4Q?
Rafael Martins: Yes. So, what we did, we started investing marketing bond. And just after we launched the solution on March 1st, we had to step back a little bit because of COVID impacts. And then we resumed those investments in marketing. So, we are very careful, we are doing in different phases. But we are increasing slightly the marketing investments as we have the unit economics improving, and we learn the CAC equation of that market. So, as you can see, the solution is gaining more and more traction. And as it gains more traction, and we see the unit economics works, well, we'll invest more in marketing expenses.
Josh Siegler: Great. Thank you very much.
Rafael Martins: Thank you.
Operator: Our next question comes from Jamie Friedman with Susquehanna. Please go ahead.
Jamie Friedman: Hi, thank you. Congratulations on the results. I just want to ask my two up front, they're both in reference to the slide deck. So Lia, in Slide 7, you had discussed the broader rollout of the dashboard and platform. I'm just wondering, what do you anticipate is the potential penetration for that? You used to give a metric about I think the number of cross sells or the number of products that each client took. So, is this part of that? That's the first one that's Slide 7? And then on Slide 15, I can't - so maybe for Rafael, why is it that the Coronavoucher is diluted to the margin? Is that just a zero take rate, like gateway type product? So, the first on Slide 7, the second on Slide 15. Thank you.
Lia Matos: Sure. Hi, Jamie, let me take the ABC question and then Rafael will take the next one. So, regarding the launch of our ABC platform, like we've said before, we started this year piloting this integrated solution. And the way to think about this is the following, once a client's on board onto the platform, there is this whole set of features and functionalities that the clients can choose to use, right. And we've worked very, very hard in making sure that the solution is well fit for the clients that they like it and that they use it. And the on-boarding and operational process is seamless, we are ready for that rollout. So, which is why we are on track to really fully deploy the ABC platform to all clients in the fourth quarter. What this means is, we will migrate all of our clients in the hubs to this platform. And all of on-boarding new clients that we onboard into Stone, they will already onboard onto the platform. So, we have disclosed this number of the penetration, where those clients they use a combination of those solutions within the ABC platform. Of course, once a client on board, they can choose if they want to use just banking, acquiring, or banking acquiring and credits. Overtime, we work hard to also upsell solutions to the same client. So, that's kind of how to think about penetration right. Over time we will penetrate the number of features that clients use within the platform. And we will make sure that 100% of our clients are on boarded onto that platform.
Thiago Piau: Lia, just to compliment on that, there is a great bridge information here that we are already seeing in the clients that are using our payment solution and then to settle transactions into their Stone bank accounts. And they use the prepaid card as a cash out methods and they pay some bills and do some wire transfer through the bathroom. So, when they use the whole cycle or the product for the payments the bank account, to the credit card and paying some bills, we now see a little bit more than two times take rates on those clients when you compare to the clients that use only the regular payment solutions. So, it's incredible to see how they become more stickiness. So, the churn decrease on the use, all the solutions in the credit solution too. And you have the NPS going up and take rates a little bit more than double the take rates that you have only on the banking platform. So that's for us the big win-win. So we are very happy to see these dynamics.
Rafael Martins: Hi, Jamie, Rafael here. Going to your second part of the question on Slide 16. So the Coronavoucher volumes, they are more similar to debit volumes. The take rate here is lower than debit, because most of those volumes they come through partners in our Fintech-as-a-Service platform. And because they're larger partners, usually the take rate is lower. But those volumes they are accretive for us in bottom and topline. So that's an interesting demonstration of how our Fintech-as-a-Service platform can work and deal with big volumes, but and despite lower take rates it's accretive in dollar amounts for the company. So, that's why you see that big effect here is because of the nature of those volumes.
Thiago Piau: Just to compliment. So Coronavoucher is not a gateway type of transaction, is an acquiring type of transaction. But the economics is comparable to the debit economic that's why it's dilute a little bit to take rate, but it's very accretive for us. And it's important to highlight that we only disclose TPV of acquiring product. So we have more TPV of that because we have the gateways, but here all the TPV that we're seeing it's all acquiring TPV.
Jamie Friedman: Got it. Thank you all.
Lia Matos: Thank you, Jamie.
Operator: Our next question comes from Jeff Cantwell, with Guggenheim Securities, please go ahead.
Jeff Cantwell: Thanks for taking my question. And this is a very thorough presentation. It also gave us a lot of detail on your prepared remarks today. So thank you for that as well. Just want to circle back, can you tell us about what you saw in terms of your net adds this quarter? It seems like the pace of recovery stopping very quickly for you. Maybe could you comment a little more on that? And tell us about what's driving that maybe which industry those adds are coming from? Is it specific to an industry is it more broad based across many industry verticals? And then can you also help us think about how sustainable net adds are going forward? Any color there would be great. To us it seems like, you have 60% hubs personal back right now. So just curious about the timing, when you think that can get back to 100%? And thinking about how that might impact the number of net adds comparisons? So appreciate any comments there. Thanks so much.
Thiago Piau: Hello, Jeff, Thiago here. So regarding net adds, we have really two effects here that is driving this pace of net adds, which is increasing productivity and we are decreasing churn levels with the company. So that's why we have this level. We have now 60%, as we said, of the hub personnel back at the streets around Brazil. We are not concentrated in any type of industrial location with net adds coming from the whole the regions that that we are present across Brazil. And we expect that by the end of this year, by the end of the fourth quarter, we will be back at the peak in terms of number of people in our sales force that we had, prior to the COVID effect. And we will grow very fast our hub team throughout 2021. As I said, I think that we will have at least 60% more people in our sales force than we have now, with the same powerful economics that we have. So it's interesting to see that as we deploy more energy and capital in growing the hubs, we keep the same level of cost of acquisition and lifetime value of the clients. And we seek to drive lifetime value up once we penetrate credit banking, the prepaid cards and the whole solution of the ABC platform that we are now rolling out. And we expect to have 100% of our clients rolled out to this new solution, until the end of the fourth quarter. So we expect to increase considerably the pace of net adds throughout 2021. That's where we are driving the company and the energy that we are putting here.
Jeff Cantwell: Okay, great. I appreciate all the color there. I appreciate all your disclosures on Fintech-as-a-Service. Can you maybe help us understand how to start a new merchant platform and help us understand what those economics look like? Perhaps there's more durable customers adding here. What types of products are they interested in? Meaning, are those ABC customers? I just wanted to understand how that piece of the strategy is enhancing the mix or enhancing the revenue opportunity that you have as a company? Thanks very much.
Lia Matos: So, Jeff, I'm going to start here, talking a little bit about how we see the Fintech-as-a-Service strategy. So, first of all, we disclosed a little bit on the presentation, how we serve clients, right? And the way that you can think about the behavior of those clients onto the platform is, when we talk about the SMB, right, the SMB, they need a very streamlined way to accept payments in their e-commerce operations. And our platform provides that right. And when you saw the cohorts that we displayed, what you see is that as we onboard clients, and that they mature on their digital operations we grow as our clients grow. So, that's why we see such powerful cohort economics. When we talk about larger clients, what we're speaking of is more of the capabilities of the platform to serve to all of their business model needs. And we see this opportunity in two ways. Like, first, is that digitization trend that we are seeing now, it was greatly accelerated due to COVID. We don't think it's a COVID specific effect. We think that COVID actually accelerated a trend that was already happening in Brazil. So, now more and more consumers are looking to buy online. And as more consumers are looking to buy online, you will have more and more different players trying to establish their own line operation. So, merchants will be wanting to sell not only on the physical store, but also on online channels, be it marketplaces, their own e-commerce websites or social commerce. And that trend is for sure will continue and it will be strong. So, that's the first big avenue of growth that we see ahead of us. And we see it as a very exciting avenue of growth. The second is beyond retail itself, this trend of many different business models wanting to embed the Fintech strategy within their strategy is also a trend that we see very strongly. So, not only retailers looking to go beyond the physical store and going online, but digitally native retailers establishing their digital operations. There are many different business models they want to embed financial services in their offerings. And we see these two very strong trends happening ahead of us and we're very excited about that. When you think about economics, overall take rates here when you think of an SMB clients overall take rates are higher, because you see more of irrelevance of credit volumes and also installments and higher duration. Right. So overall, you see this on a comparable volume basis between brick and mortar. And these types of clients take rates tend to be higher.
Thiago Piau: Lia, can I give my two sense here?
Lia Matos: Sure.
Thiago Piau: About the Fintech and service platform. So, regarding the SMBs, in terms of distribution channels, we have really three avenues here. So, we have our lead generation that brings clients to our inbound team that close the sale by the phone. It's a direct distribution. We have self-service site that goes to our website, because the brands that were recognized in Brazil. And they take the product and a service mentality. And we have partnerships with e-commerce platform in which they helped us to distribute our financial solutions to their client base. And we have a partnership with them that works through. We have several partnerships with e-commerce platforms here in Brazil. And in the SMB, what's interesting to see is actually this market, the online SMB, this market is growing a lot. So, you have more digital native clients starting. Those clients, the unit economics are very powerful, because as time goes by, you have more revenue per client because they grow and you grow alongside with them. And the take rates in the digital area is bigger than the take rates in the hub. So, that's very promising. We've even started to offer credit project to the SMB clients in the digital space yet, but we are piloting now. So, we are seeing the whole economics of the credit in the SMB clients in digital and we expect to roll out the credit solution for them soon. When we talk about the big integrated partners and wallets, marketplaces and all the big players that want to use our solutions on a white label manner. Here, we still have a very, very big potential because we built a solution based on modules. So, they have many type of features that they use to increase conversion rates to manage chargeback disputes anti-fraud solutions, split payment and split settlements because you can split the transactions in two payment methods or you can take one transaction and split in two different settlements and prepay separately. So there are many functionalities that we do to serve them. And I think that by the credibility that we have built with our partners, I think they're now be trusted to use our banking as a service too, so we can help them with white label accounts in order for them to offer white transferability payments, but reassurance and all the banking solutions to their clients using as a white label manner. And I think that soon, we will be able to offer credit as a service for them too in terms of credit scoring, collections and all the functionality that helped us to have the strong economy that we have in the hub. So we will be able to disclose to them part of that as a service too. So we really believe in the growth avenue of the Fintech the service strategy. We decided to integrate our gateway PSP and core platforms into one single team. And I think that now our solution is even stronger and the market is growing fast because of the COVID trend and the digitalization in Brazil. So we're very excited with this opportunity.
Jeff Cantwell: Okay, that's great. Thanks very much. And congrats on the results.
Lia Matos: Thanks, Jeff.
Thiago Piau: Thank you, Jeff.
Operator: Our next question comes from Mario Pierry with Bank of America. Please go ahead.
Mario Pierry: Hello, everybody. Congratulations on your results. I have two questions. First one is on TON. You're showing very strong growth, but I was wondering if you are planning on providing financials for us on TON anytime soon? When do you expect TON to breakeven, just so that we can monitor how the performance has been going right? Because the growth seems very good, but I was just wondering, how is TON performing based on your expectations? And my second question is related to all the regulatory changes taking place in Brazil. States becoming operational, now in November. We have the receivables platform as well. Can you just remind us of your expectations from all these regulatory changes how they should be impacting your business? Thank you.
Rafael Martins: Hi, Mario, Rafael here. Thank you for the question. Yes, as I mentioned, TON is getting more traction now. I think that's still very small compared to the overall size of the company. I think when it gets more representative, we will provide more details or breakdown. And just a reminder here that TON is contributing negatively to the bottom line at this moment. So we do have investments in that solution in our P&L. But still very small. So we have 65,000 active clients in the third quarter. Of course, the average TPV here is much smaller than the SME space, as you can see by other players in the market. So as it gets more relevant, we will provide more and more detail. Regarding your second question, Lia will take it. So Lia, thank you.
Lia Matos: Hi, Mario. So I'm going to start talking about the registered receivables and then I'll talk a little bit about Pics. [ph] So first, we as we've said before, the way that we see this regulatory evolution is that this opens up a vast opportunity for us in terms of addressable markets for prepayment and credit. Because we will be able to offer our clients prepayment and credit based on their full receivables agenda. And in terms of our business model, and how we plan to capture this opportunity, I think there's two things. First of all, we really believe that owning distribution will be a big differentiating factor, because once we obtain our clients consent, be it through our customer relationship team, our distribution team or even digitally through the platform, we will be able to offer them these products in the same way that we do today. But looking at a much higher addressable market. So our product is ready to do that, our business model is really fit for this opportunity. Operationally speaking, we don't know yet but the expectation is that it will go live soon on November 3. And we will be ready once it goes live on November 3. So our team is working very hard and we are fully ready for that go live. Talking a little bit about Pics. I think the way that we see Pics is the following. So Pics has three main use cases right. The first is the use case regarding substituting wire transfers. The second is alternative to debit transaction. And the third is alternative to collateral. Like when Pics goes live, it's more likely to substitute use cases regarding wire transfers, and debit transactions. And we see this opportunity in two main ways. When you look at our SMB clients, we will enable our clients to accept Pics as a payment method, directly in their POS machine through our dynamic QR code which for them is greatly improves the transaction security. And this will be a very simple and streamlined process, because they can - a simple setup within minutes in the POS machine or in the ABC dashboard, they can be ready to accept payments. Pics as a form of payments. And we will reconcile this as a form of payment just like we do with credit and debit and all of the other payment methods. So we will enable our clients to accept the Pics. And on the other hand, we see an opportunity in the context of our Fintech-as-a-Service strategy to offer fixed transactional services for indirect players in the market, given as we are a direct player with directly integrated to the central bank infrastructure. Regarding the economics, we will apply market rates, but we believe that the economics in these transactions will be preserved according to whatever the use case is. So we believe that the economics will be preserved, and we will apply exactly whatever the market rates turned out to be.
Thiago Piau: Mario, can I add some topics here, very quickly. So about the register of receivable the direction of the central bank that everyone should be ready on November 3, right? So we're ready. So we will be 100% ready for what the central bank has asked everyone. But we are seeing that some players may not be ready, there is some discussion about a potential delay. Let's see. I think the registered receivable is a good opportunity for the whole society, both clients, new players, everyone, because at the end of the day, makes all the process more efficient. So I think that by having the register receivable we will have a better avenue of growth to provide credit for clients that still don't use our payment solution with the same level of security and NPLs that we have today. So we're very excited about this. We can't wait to see the register receivable happening. We made all our products offering and our operation to take advantage of that. And we think that this is a big evolution of the industry, a big improvement in terms of how you deal with collaterals and credit based on collaterals. Regarding Pics, I think that there is a question about the take rate of Pics and pricing of Pics. So what we have in mind now is that we will simply follow the market. So we will see what's the price of the market we will use. We will simply follow the market. But at the end of the day, as Lia said, we have three written applications here. So Pics as a debit like type of transaction. So what we expect is that you have a debit transaction without interchange a part of that economics should be moved to the merchant. But margin in acquired should be the same, so that's what we expect. Let's see, what will be the average standard in terms of pricing of the market. You have features of wire transfer that should be a wire transfer cheaper to do, because the SPI infrastructure provides as resource a better infrastructure a cheaper transaction, so that should decrease the price of wire transfer. And I think that you have the third application that we should be pretty much like boleto and you can put a due date in the future. But we still have to see how it will work with interest rates and fines that you can take put these declines in payments and things like that. But that should be a boleto like transaction. But now for every company, I'll try to work by the Central Bank. I think that economy should be in line with the market industry application, but we'll wait and see how the markets will behave that we'll simply follow in terms of pricing.
Mario Pierry: Very clear. Thank you very much.
Thiago Piau: Thank you, Mario.
Lia Matos: Thank you, Mario.
Operator: Our next question comes from Neha Agarwala with HSBC. Please go ahead.
Neha Agarwala: Hi. Congratulations on the result and thank you for taking my question. My first question is on Linx. Today you revised some of the agreements but the break-up fee, if the transaction does not go through as the shareholders meeting is still there. And some market participants have been saying that this is somewhat high, it's about 7% of the main value. So, why not reduce or completely do away with this breakup fee and make the transaction even more lucrative for the Linx shareholders, which will probably make it more difficult for them to reject your offer. Your thoughts on that would be appreciated. My second question is on revenues. Could you give us some sense of how much of your total revenue is generated from non-acquiring business? Last quarter, you gave us a sense of how much do you get earned from your software in terms of revenue. So, any color on non-acquiring share in your total revenue would be helpful? And last question is on churn. You mentioned that churn has reduced dramatically versus last quarter. But how is churn behaving versus last year? And what is the reason for an increase or decrease in churn versus last year? Thank you so much.
Rafael Martins: Thank you, Neha. Rafael here. Thank you for the question. So, regarding your first question on Linx, what we announced today is that we are waiving the breakup fee of BRL112 million in Linx shareholders meeting. If they do not approve Stone transaction so, Linx shareholders, if they decide not to go with Stone transaction, that there's no burden on Linx on that. What we kept is, if there is a concurrent offer approved after that the breakup fee is maintained. And then just remember that we understand that the breakup fee that was there and is there, the one that remains is valid and legal. So, we expect to spend over BRL270 million in the transaction overall, including the follow-on expenses. But we decided to go as Thiago mentioned, to have the 17th discussion so that the shareholders have Linx will have no breakup fee if they vote against our transaction. Regarding the second part of your question on revenue, we are seeing increasing trends in terms of penetration of new solutions, as we shown you in the SMB, the 27% of number of clients in SMB with financial solutions. If we look at the software, for example, we have mentioned in the previous quarter that we had over BRL100 million of pro forma revenue. And that means the pro forma means that as if we own 100% of the companies that we invest in, which is not the case, you can sometimes invest 20% to 30% stake in those companies. So, we don't necessarily consolidate those. If we look at financial solutions, we also see an increasing penetration. And we expect over the coming years of course, that to be more and more relevant. And as it gets more and more relevant. We might discuss disclosures and additional disclosures for you guys. Regarding your third question on churn, we saw decreasing churn both on a quarter-over-quarter and also on a year-over-year basis. So, I think that some of the reasons that we believe it might happen is a new solutions, as Thiago mentioned contributed to the reduction of churn, and we do have a statistical analysis that showed that this trend reduces in all the solutions, and especially when they are combined. So, as our customer service and SMB keeps very important as well of a new solution. So, we believe that over time, we will have stickier and stickier solutions, not because of course, we are sort of locking the clients but because they are opting for our complete combined solution and integrated experience. Thank you.
Neha Agarwala: Thank you so much, Rafael. That's very helpful.
Rafael Martins: Thank you.
Operator: Our next question comes from Domingos Falavina with JPMorgan. Please go ahead.
Domingos Falavina: Thank you. Good evening, everyone. Congratulations in the high-quality result. I had a question, I think I guess is worth counting wise. You guys had a very, very strong financial income results for BRL460 million booked as financial income. And that, again, I haven't had the time to really go through in detail the full release, so I apologize if there's data on that. But anyway, like you had BRL460 million and BRL27 million in the financial income. You have two operations that I'm aware of one is the prepayment of performed sales, which there is no credit risk. And you have the credit operation, right, which does vary in credit risk. I would like the breakdown of this financial income, how much stems from the traditional prepayment? How much stems from credit related operations? And if you put as a second portion of this answer just explain to us a little bit how it works this credit. So, in example, you originated using 30% a year, you set aside as provisions 5% to 7%. Because I'm having a hard time here, looking at the asset quality of that. And the last one, I'm sorry for running a little long. You did mention you plan on securitizing the loan book in a few months? How do you plan the credit risk? Will it be within the security? So like, let's assume you do package the full BRL1 billion. And like you plan on taking 20% of the total 80% was the barrier of the first losses and you already make a senior bond, junior bond or proportional losses. Just to understand a little bit given the obvious concerns around asset quality nowadays?
Rafael Martins: Hi. Domingos, Rafael here. Thank you for the question. Yes. So, if we look at the financial income revenue line, we do have the prepayment operation in the credit revenue there. If you look at the BRL27 million that you mentioned in other financial income, this is mainly comprise high interest in cash. So, basically, the BRL460 is those two line items that the credit revenue is increasing. As you can see, of course, the majority of business is prepayment. And the prepayment is much more relevant to you. But I think that the credit is also helping us in the hubs to gain traction in that line. And if you look at interest rates in Brazil going down year-over-year, like two-thirds, and we still were able to grow that that financial income line. We do intend to fund the credit in the future, mostly with third party funding, as I mentioned. So, we already have FIDC, in place that now today Stone is the only investor there. And I think it will be a pretty much as the same structure we did in prepayment back in the past right where Stone keeps investing in the FDIC, and you have senior quota holders having senior quotas of that fund. So, we started that process just before COVID and we held it back. And we believe that soon we'll have more of the third 2020 there as Thiago mentioned. Besides that, we also have the DNDF that could lead up to BRL500 million of funding. So, I think here that this is we mentioned, I think it was in the last presentation regarding the deal with the Linx. We provided a little bit of detail about our TAM. And when we look at the TAM in the credit space, only consider SMEs is a huge market. So, we believe we have like 1% to 2% of market share in the business of providing funding to SMEs. And I think that also, as Lia mentioned, we are putting this together in a fully integrated platform, which is the ABC platform. I mean, with a friendly dashboard integrated solutions that we see a big potential here. And just to your question regarding the risk, when we account for credit revenue, the revenue has already netted of expected delinquency. So, we do take into consideration the credit risk of clients already. And it's already been added into our revenue. And also if you look at our balance sheet, the credit that we have there, it's already booked at fair value that already factors in the risks that we have in that portfolio.
Domingos Falavina: Perfect, that you mentioned that. Actually, I didn't want to go that deep. But if I actually look at that for September, the FDIC looks the book value at BRL4,555 billion with the fair value BRL4,479 billion as you short carrying in the other loss, the difference between providing the credit, is that the provision? Is that expected loss because of the crisis? Why is the difference?
Rafael Martins: Yes. So, this is the liability part. So, the FDIC this is the part of the senior products, Domingos that we have in the balance sheet. This is like a debit like FDIC. It's not related to the credit portfolio. So, this is not related to delinquency or anything like that. This is basically the senior quota holders' part of our FDIC that we recognize as a liability in our balance sheet just like as a debt.
Domingos Falavina: Okay, well, so just like the other ones. -
Thiago Piau: Just let me help you with some information here. So, we have two separate FDIC structure. One is the FDIC in terms of accounts receivables, that we sell our account receivables and we take their money to do prepayments. And I think that when you are talking about the numbers that you said about the BRL4 billion you're talking about the FDIC made for prepayments. What Rafael was saying before the FDIC structure to fund the credit, so it's a whole different FDIC. But we intend to use the same type of mentality in which we generate the outstanding balance and then we sell this to the market. I think that we can't talk too much unfortunately about this, because now we are in a quiet period moment about this structure. But after we conclude the raising capital process, we can give much more detail about rating process, whole disruption, and everything that goes on. I think the main data that we have disclosed to you and I think it's the best way to see is the outstanding balance, which is around BRL1 billion or BRL1.1 billion. We have the other way, which is basically the rate lasts the NPLs on a monthly basis. And you have the duration that we have disclosed to you. So those are the main lines. And as Rafael said when we book the revenue, we book it at a fair value. And we have expected the interest fee rate. So once we've raised the capital with the market, we don't expect to have any type of impact in our revenue in the way that we account for that. And that should happen in the coming month, will be shortly. So once you complete the process, we can give you much more information about the whole structure of the fund, the risk profile, and the rating and all that.
Domingos Falavina: Perfect, thank you. Congrats again on the quarter. It's just gaining a bit of share, and it's a big upside. And then disclosure is a bit different than what we're used to and given obviously COVID and all that the more we could see as like provisions on tracker, I think would make it more clear to us. But again, congrats.
Thiago Piau: Thank you very much Domingos.
Operator: The next question comes from Victor Schabbel with Bradesco BBI. Please go ahead.
Victor Schabbel: Thanks for the opportunity, guys. Well, congratulations on changing the terms for the transaction with Linx. I think it's improved, again, the level of corporate governance related to the transaction. So this is pretty much welcome from our side. I have just a couple of follow ups, if I may, one, on Domingos' questions. Would you guys come out and obviously, you probably will, but with more information about the [Indiscernible] for credit transactions, not for the receivables for the credit itself, one. About for example, the minimum level of the donations right. So for us to have a sense on what it should be. So when do you guys think you could come up with this type of information for us to get a sense on how you guys are viewing structure to leave investors comfortable at fixed income investors, right with minimum levels, subordination of ex percent, whatever? This is one question. And the second question is, I would say positively surprised by the fact that you guys captured a lot in terms of Coronavoucher volumes required, right, way ahead of some of the other peers. And I would like to understand whether these came from entirely from you guys. Right. So I mean, directly from your POS. Or if there is a big chunk? If you can just give some color not a lot to give some color if it came from some partners like sub-acquirers? And just shoot to get a sense from where it came from, if it was strong really capturing a big chunk of the Coronavoucher payment in the period? Or if there is some greater capillarity due to the sub-acquirers you guys work with? Thanks.
Rafael Martins: Hi, Schabbel. Rafael here. Thank you for the question. Regarding your first question on the FDIC subordination, we can't talk much. As Thiago said, the subordination should be very low, right. But that there is some right but as soon as we are able to provide more details on that we will definitely do it and we can follow-up with you in more detail. Regarding your second part of the question, the Coronavoucher. The biggest part of the Coronavoucher volume that we have in our TPV, it is really coming from our Fintech-as-a-Service platform through partners. And we have a small volume in the hubs. But the biggest part is through our Fintech-as-a-Service platform. And also just to be clear that when there is the cash in a partner or in a wallet and the digital account with the prepaid cards, that's where we transact and we capture that part of the TPV. And that's why we are able to separate it and disclose it to you guys.
Victor Schabbel: Perfect, very precise. Thanks, for the answer.
Rafael Martins: Thank you.
Operator: There are no questions at this time. This concludes the question-and-answer session. I will now turn it over to your hosts for final considerations.
Thiago Piau: Hi, everyone. Thank you all for the great questions this quarter. We're very happy to see the level of engagement of our team, the energy here, and see you next quarter. Bye-bye. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.